Operator: Welcome to AU Optronics 2022 Third Quarter Results Conference. Before the meeting commences, all lines are being placed on mute. After the presentations by the management team, there will be a question-and-answer session. Now I would like to hand over to Ms. Julia Chao, AU's IR Officer.
Julia Chao: Thank you. Ladies and gentlemen, good afternoon. I'm Julia Chao, AU's IR Officer. On behalf of the company, I would like to welcome you to today's results conference. I'm joined by four executives, Mr. Paul Peng, Chairman and CEO; Mr. Frank Ko, President and COO; Mr. James Chen, Senior VP of the Display Strategy Business Group; and Mr. Ben Tseng, our CFO. The meeting agenda is as follows. First of all, CFO will go over our third quarter results and provide you with our guidance for Q4. Then our Chairman, Paul, will have an opening remark. Afterwards, we will proceed with questions and answers. For the first part of the Q&A, we will address the questions that we collected from analysts before the meeting. After that, if there's still more questions, we'll open the line for you to call and post questions. Now, before I hand over to Ben, I would like to remind you that all forward-looking statements that we are going to share contains risks and uncertainties. Please also spend some time to read the Safe Harbor notice on Slide number 2. Now, Ben, please.
Ben Tseng: Good afternoon. I would like to quickly go over our Q3 results. During the quarter, our performance continued to be affected negatively by inflation, conservative consumption spending, and customers weaker than expected panel purchasing amid inventory adjustment moves. Our shipment areas slid substantially. Net sales came in at NT$49.7 billion down by 21% Q-o-Q, gross loss was NT$7.26 billion, OP loss NT$13.7 billion, on the back of the income tax benefit of NT$900 million due to non-op income in Q3, our net loss attributable to owners of the company lowered to NT$10.4 billion. EBITDA margin was negative 11.8%. Next slide, balance sheet. At the end of Q3, cash was NT$80.6 billion down by NT$4.3 billion Q-o-Q, debt was NT$67.8 billion, net debt to equity ratio was negative 6.3%. Due to weaker demand from customers we continue to lower our UT rates and lower inventory levels. As a result, our inventory amount in Q3 was NT$29.8 billion, down by NT$7.4 billion or 20% Q-o-Q. However, due to a sharp decline in shipment inventory turnover on this went down slightly 54 days. Cash flow, outflow for operating activities was NT$5 billion, mainly due to distribution of employee and board of directors compensations, which was NT$6.2 billion, CapEx NT$11.5 billion, inflow from financing activities was NT$4.8 billion including borrowings of NT$14.6 billion and cash dividend payout of NT$9.5 billion. Next slide, revenue breakdown. In Q3, consolidated revenue slid by 20% with varied performance of each segment. Changes in the revenue breakdown were also pronounced. TV and monitors share lowered to 11% and 12% respectively, mobile PC and device share increased to 28%, automotive solution increased to 17% on the back of persistently increased shipment volumes. Next slide, revenue breakdown by size. This chart and the changes here reflected the changes in revenue breakdown, which I mentioned in the previous slide. Larger than 39 inch share decreased due to sharper slides in TV and monitor area shipment and ASPs. 39-inch and below share increased, thanks to more robust performance of notebook, car displays, industrial and commercial displays. Next slide, shipment and ASP by area. Area shipment lowered by 21% Q-o-Q. The drop in ASP narrowed at 4% Q-o-Q. Now for our Q4 guidance. Based on our current business outlook, we expect that the Display Business will see area shipment to be up by low- to mid-single digit percentage points Q-o-Q. And blended ASP denominated in a dollar would be down by mid-single digit percentage points Q-o-Q. At the same time some non-display factors and businesses such as the energy business which is seeing increasing revenue may have positive impact on the company's operating results. And in Q4 our loading rates will be dynamically adjusted based on market conditions. So that was a quick recap of our Q3 results and Q4 guidance. Before we start with questions and answers, we will have Paul, our Chairman to say a few words.
Paul Peng: Good afternoon ladies and gentlemen. Thank you. And welcome to our results conference. Q3 saw weaker demand which was extended from the first half. Brands and channels had their inventory levels picked in the end of Q2. So in Q3 they prioritized on digesting inventory levels. Panel customers halted or slashed their panel procurement. Some companies even halted their panel procurement for one to three months – one to two months. In addition, inflationary pressure remained high rising at double digit in the U.S. and Europe which suppressed consumption.  Meanwhile, consumer demand is still low at the moment. So in Q3 we faced strong headwinds. Loss contributable to owner of the company was NT$10.4 billion. In the quarter our gearing ratio was negative 6.3%. So we are still in net cash position which we think is still rather healthy. In the face of the drastic changes in the market AU has been implementing several measures. First of all, we persistently lowered our inventory level starting from the beginning of the year. To free up our operating capital, our inventory amount decreased by NT$7.4 billion Q-o-Q, which was a relatively low level among panel makers. However, due to a lower revenue, our inventory turnover only went down by two days. Secondly, we have been keeping a tight ring on CapEx. In the beginning of the year we planned to build a new G8.6 fab in Houli, Taichung. We have put that plan on hold and there is no timeline for restarting the construction. Thirdly, we will control and lower our cost of goods sold, which include material operating expenses and cost reduction. While there are some headwinds, there are still some price spots in our operations. For example, on the back of increasing net-zero commitments and renewable energy demand, our solar business revenue contribution reached 10% in Q3, which will be higher in Q4. Besides car displays, our automotive solutions are also developing barebone systems and lamination technologies. On the back of an alleviation of component shore supply, our car display revenue increased – reached 17% in Q3 as a share of our total revenue. However, that is still not sufficient to offset the drop in consumer electronics demand. So, overall our UT rates have been lowered significantly, but at least we believe that we are on the right track in terms of the development of car display business and other vertical non-display businesses. And we have been developing quite healthily as for our Q4 outlook or pandemic and inflation are all detrimental to economic development. As far as I can remember, such situation has never occurred before. Today, countries around the world are struggling with dealing with these challenges and to little avail. Today, as we all know, Europe has to work very hard to address the challenges to weather the storm in the winter And consumer market experienced sharp and drastic recession. Generally, it takes a longer time to recover from downturns induced by demand contraction. So in the near term we need to be more conservative in how we manage our business. Starting from the first half, we have kept a tighter rein on our inventory and closely monitored – our cash flow and we will continue on with these activities in the next quarters. Brands have been very aggressively cutting their inventory levels. Today channel inventories have been improving. However, each company is controlling their inventory levels at a different kind of magnitude and the results have been varied. Some brands still experience very high inventory levels, but some companies have returned to rather normal and healthy levels of inventory. So some companies have already increased their procurement of panels. We have to be very adaptive to our customers demand and work with them to prepare for the materials and production. Going forward, we will place more focus on several aspects. First of all, car displays as component tightness eases for car displays, the demand for car display has strengthened. Moreover, the growth of electric vehicles and autonomous driving geared us toward more investment into car display and automotive applications. The product – AUO’s products have won great recognition for our customers for our power efficiency, high contrast ratio and high weather tolerance. So we believe there will be greater momentum for our car displays in the next one to two or two to three years. Currently, our car display revenue contribution stood at 17% in Q3 compared with less than 10% in the past. In the future, we will continue to develop more car displays and solutions and we will seek to enhance our system integration capabilities car or automotive solutions will become an important growth driver for AUO going forward. As for go-vertical strategy, we continue to work on five application fields in Q3, our subsidiary AUO Display Plus acquired a North America based education system provider RiseVision, which helps us to expand our presence in smart education. RiseVision was founded in 1992 and it has been providing smart classroom management solutions to more than 3,000 companies – 3,000 schools in North America. We hope that we will be able to leverage its capability to expand our applications and deepen our footprint in the education market. Moreover, our subsidiary AUO Envirotech is providing a full lineup of carbon management services. It leverages the more than 20 years of plant management experience of AUO to provide integrated solutions of carbon management, water treatment and smart control management. This is also a demonstration of our capability in smart manufacturing know-how and solution capabilities. Also in September, we set up AUO Solution Research and Development Center in Asia Bay in Kaohsiung. In the future, we will set up a solution R&D team in the Kaohsiung area in hopes of strengthening our capabilities for smart applications. Moreover, energy business is a key priority of AUO. As we see advancements in engineering and technologies, our energy departments revenue share increase to 10% in Q3. In Q4, we expect to see more growth in revenue on the back of recognized revenue from solar plant projects. The revenue contribution of the energy business increased by 70% from a year ago, actually starting from 2008, we have been developing the energy business and gradually we are seeing results. So we are seeing some efforts bearing fruits in our investments in energy production, energy storage, energy conservation and energy management. On the back of the global clean energy demand and Taiwan's 2015 net-zero policy, energy business will also be a priority of AUO going forward. In addition, we are seeing great achievements in the ESG area. In August at the Asia-Pacific Forum for Sustainability, we were awarded with three awards, two for the sustainability achievement of AUO and one for our Chief Sustainability Officer. Also in September, we won the two top awards from Taiwan Circular Economy Awards, a recognition of our achievements in green manufacturing, resource circulation and ecosystem building. In addition, we have been included in DJSI index for 12 years in a row. We have been working very aggressively in the ESG area. And for a quick summary of our performance in Q3 as well as an outlook for Q4, today, countries are reopening their borders so we are taking this opportunity to align with our customers demand for next year and also working with our suppliers, we hope that we will be able to implement our biaxial transformation and to turn the situation around in the face of the downturn. There will be some pressure, some downward pressure in the near-term. However, we have been working very hard to improve our financial structure on the back of the healthy financial and operating performance of AUO today, we believe that we will sustain the downturn. Of course, we will be carrying out our biaxial transformation initiatives. Currently, we have yet to reach a certain scale and we are still being affected by the downturn. That means that we haven’t been sufficiently resilient in our operation and we would need to work harder so that we will be able to sustain and whether the boom and bust cycle of the panel industry in the future. Once again, thank you all for participating in the investor conference.
A - Julia Chao: Thank you, Paul. Now we will proceed with the questions and answers session and we will address the questions that we collected from analysts. The first group of questions revolve around market updates and outlook. First of all, there’s a question on our views on global panel supply and demand. And amid the downturn, which product or which application do we see as a bright spot? And there are also questions regarding TV sell-through and our views on Q4 TV sell-through demand outlook. Frank, would you please?
Frank Ko: Good afternoon. This is Frank. I would like to share with you our views on the major panel and market – panel applications market. After the conclusion of the first half, we had more clarity on market conditions, so across regions panel makers started to cut production more aggressively and the adjustments have been quite drastic compared to Q2 and panel makers are also dynamically adjusting their product mixes. So what happens is that inventory levels of panel makers have been adjusted and supply in the market is moving toward a healthier direction as for the demand side. As inventory levels are being digested, some products have resumed their panel purchasing activity. However, in terms of macro conditions, inflationary pressure and suppressed consumption have cost demand to weaken. Still some brands have resumed their panel purchasing and have seen their panel purchasing activity resume normal. In terms of applications, car displays and high end niche products such as healthcare products enjoy relatively more stable demand, as for TV sell-through this year, especially in Q3, despite the negative factors as mentioned, sell-through performance varied amid brands and channels, inventory digestion moves, promotional activities are still being carried out. TV sell-through is expected to grow by 25 to 3% from a year ago. In the U.S. especially, sell-through posted growth for three months in the row in Q3, leading to growth of 9% to 10% YoY and 85-inch segments saw a sell-through increasing by 40% YoY. However, in Europe due to the negative impact of war and suppress consumption, TV demand remains to be quite weak. In Mainland China, on the back of market recovery, Q3 sell-through turned to growth and the migration, the momentum of migration toward larger sizes and high specifications continued 60-inch and above TV sets accounted for 40% of the total sell-through. Emerging markets are experiencing recovery in conditions, posting positive growth in Q3. In the Middle East, consumer spending strengthened on the back of higher oil prices posting double-digit growth for three quarters in the row. Overall, TV channel inventory levels have become more normal. We will continue to observe the consumption activity in Q4 ahead of the year-end holiday season.
Julia Chao: Now Frank, would you please also talk about IT, sales updates and demand for Q4. And also inventory levels updates for TV, monitor and notebook.
Frank Ko: The IT segment, unlike TV segment has been through a strong growth trend for the two – for the past two years on the back of rising stay after economy and remote applications. So basically consumers have procured IT products ahead of time. This year as markets reopened, the end market has been returning to normal demand pattern. In transit and channel inventory levels have been higher than normal after more than one year in two poor congestion and pandemic induced implications. So brands are under great pressure. In Q3, commercial demand and consumer demand have become more conservative. Monitor said shipments in Q3 slid by 8% YoY in Q3 and notebooks said shipment also slid by nearly for 24% YoY. Currently IT inventory levels are quite high. Looking ahead of the fourth quarter with the upcoming promotional activities for consumer electronics, which will likely boost inventory digestion magnitude. We will have to observe the pace of inventory digestion by brands and channels to see when and whether the inventory levels will resume normal. So this is an update on the demand side. Currently, we still have to keep and close eye on demand inventory levels, because of the inflation consumers spent in power has been suppressed. With production reduction in the industry and hopefully consumer activity recovery inventory levels will return to more normal levels. Thank you. The next group of questions are financial related. I would also like to take this opportunity to let you know that we are going to adjust the timing for announcing our financial figures in alignment of the timing of our Board of Director meetings. Today, we announced our financial figures after the stock market closed at 130. In the past, we announced the figures before the stock market opened. That was because the Board of Director meetings was usually held a day before the investor conference. In the future, we will have Board of Director meetings in the morning and we would announce our financial results after the stock market closes and we will hold our investor conference in the afternoon. Okay, for the utilization rates in Q3 in the phase of weaker demand, we lowered our UT rates to 50% and we kept a tight ring on incoming inventory to minimize our inventory levels. And for Q4, we will dynamically adjust our loading rates according to market conditions and product mix. Depreciation and monetization amount was NT$7.8 billion in Q3 and NT$23.7 billion for the first three quarters of the year and will be around NT$32 billion for the entire year of 2022. CapEx in Q3 was NT$11.5 billion and NT$27.9 billion for the first three quarters of the year and will be no more than NT$36 billion for the entire year. For currencies impact on our margins in Q3, new Taiwan dollar weakened by about 2.9% against the dollar and gained 4.3% against the Japanese yen. So these factors combined had a positive 1.3% impact on our gross margin in Q3. So those were our answers to financial related questions.
Julia Chao: The next group of questions are about AUO’s key products and technologies. James, would you please share with what you have observed on the effect on sales from the promotions by channels and brands? And also could you talk about our car display technology updates?
James Chen: Good afternoon, this is James. I would like to share with you our observations as Paul and Frank said earlier, they are quite some uncertainties in the macroeconomic environment. Consumer spending has trended downward based on our current observation. Brands and channels have been working very hard to digest their excess infantry levels in hopes of lowering their inventory levels as much as possible by the end of the year. Currently, customers focus on infantry digestion and improving their cash flow, which have been affecting the visibility of commercial and consumer products. Compared with this year when TV, IT and commercial panels demand have become weaker, car displays have benefited from the trend and the growing demand for EVs and autonomous striving. Moreover, car display chips shortages have been alleviated. So demand has been relatively more stable. AUO has been investing in the car display market for more than a decade. Our customers range from car makers in Europe, America, Japan, and Korea and China. And we mainly focus on the before market segment. We are capable of providing all the panels in the driver’s cabin ranging from head up displays cluster to CIDs. So we have a comprehensive portfolio. We are also applying our ultra power saving low temp technology and multi-panel splicing and full elimination technology to complement touch and large size panels. So we are able to provide highly value added and integrated products and solutions. So we look forward and we expect to see high growth momentum for the car display segment.
Julia Chao: Ladies and gentlemen, we now open the line for you to call in and post questions to ensure equal opportunities for each participant. Please be reminded to limit the number of your questions to three per call and please state them all at once. Thank you.
Operator: [Operator Instructions] The first question comes from Derrick Yang from Morgan Stanley.
Derrick Yang: Thank you, management team. Good afternoon. I have two questions. First of all, in Q3, how much of your gross margin was affected by LCM and idle cost? Secondly, could you give us some color around your mini-LED technology development in the market? And what is its penetration rate and different IT product lines? And what is your outlook for mini-LED technology? Thank you.
Ben Tseng: Hi, Derrick, this is Ben. We recognize LCM loss of NT$1.4 billion in Q3 on the back half price slice. Idle capacity induced cost in Q3 was NT$2.4 billion plus.
James Chen: Hi, I'm James. For your second question on mini LED. Mini LED is currently being applied mainly in high end gaming displays. AUO is also leveraging mini LED to develop AmLED technology, which is the best technology for gaming displays. We're also applying it in car displays helping to boost brightness, contrast ratio and reliability of car displays. And we believe these advantages are paralleled by other display technologies. Currently, our gaming displays have been highly recognized by customers. Going forward you will see our gaming displays shipping in greater volumes and using more applications by our customers. As for car displays today, new projects almost all use AmLED technology. However, from designing to volume expansion, car displays usually take a longer process ranging between two years to three years. So in next year and the year after that our mini LED technology will be used in car displays in much bigger volumes. Thank you.
Julia Chao: Our next caller is Jerry Su with Credit Suisse.
Jerry Su: Management team. Good afternoon. Thank you for taking my question.
Julia Chao: Jerry, could you please turn up your volume? Okay, thank you.
Jerry Su: My first question is on automotive solutions and the performance in Q3. The share of that segment increased from 14% to 17% while revenue dropped. Secondly, I think your EBITDA margin for the first time went into the negative range. Could you share with us your views on the impact of other panel makers ramp up and new factory construction plans on the market conditions? Also, you mentioned that you are delaying the construction of the OLE fab. So the panel industry resumed to what it used to be that is the oversupply situation. So how do you avoid being trapped in the boom and bud cycle of the panel industry? Moreover, you guided area shipment to be up, but ASP to be down Q-on-Q for Q4. Could you share with us your views on IT and TV performance in Q4?
Frank Ko: There wasn't a big change there – there won't be a big change between the car display shipments in Q3 and Q4, but there will be some delay in the shipment timing. However, overall car display will enjoy steady growth. Jerry and Paul, the panel industry is being hit by the most severe lump in a decade. The previous downturns were triggered by oversupply due to excessive capacity expansion by panel makers.  This time around the industry has been rather rational in the pace and volume of ramp ups, but market demand suddenly plummeted. So this downturn was triggered by contraction in demand. Unless, there are some resolutions to the current uncertainty such as inflation, COVID pandemic, and the ongoing war and other macro conditions, or else we are going to experience a slow recovery at AUO. Our pure display, this is still [ph] accounts for a quite high ratio. So we are still affected by the cyclical slump. That means, we will have to work more aggressively to develop non-pure display business. Over the past two years, we have seen some growth in scale. But we still have to work harder. Our hope is that in the next one or two years, there will be some more visible improvements. At the same time, if demand cannot come back and start to grow quickly in the short term, we don't need to ramp up at the moment. That is why we decided to put the fab construction plan on hold. And there is no timeline for when we will resume construction. If there is no need to ramp up, then we won't build the new fab. Instead, we will pull the money into the cash to help us to have healthier cash flow in the next two years. The magnitude of the current industry slump was unseen in the past 20 years or so. For TV, currently, channel inventory levels have been lowered to a certain level. There are some rush orders coming in from customers to meet the short-term demand for double 11 single stay and year – end of the year holiday season demand and also because TV prices have dropped significantly, has the slight rebound in pricing as for IT. TV is the product of all panels that consume the biggest area of panels. So when the demand for TV stabilizes, IT products will start to see their prices stabilizing. Currently, what we have observed is that inventory levels have become more normal and healthier and customers started to restock.
Julia Chao: Thank you. Our next caller is Lisa Chen from Yuanta Securities. Please go ahead.
Lisa Chen: Management team, good afternoon. I'm Lisa from Yuanta. My first question is on your solar business and energy business. You mentioned that the share of the business, in terms of the revenue has reached 10% was up by 17%. What was the base period was – were you comparing with the same period last year or a quarter ago? The second question that I have is about the profitability of your energy business, because obviously, in terms of the loading rates and the nature of the business, energy business is very different from display business. Thirdly, about your loading rates, you mentioned that you will dynamically adjust loading rates according to market conditions. In terms of Q3 loading rates what was your loading rate in July and September?
Paul Peng: This I am Paul. On your question regarding energy in the first three quarters, our energy business revenue increased by 70% from a year ago. Our energy business is profitable. Today revenue contribution is not that high thus it's not able to sufficiently offset the drop in profitability. So we will work harder to improve the revenue growth of the energy business.
Ben Tseng: Lisa, this is Ben. Actually on the financial results that we announced you can refer to the BGU categories and you will see that energy business is a profitable business in Q3. Its op margin was around a more than 8%. Lisa, did you want to ask about the UT rates of our company in September and July or September versus July?
Lisa Chen: Actually want to know the comparison.
Ben Tseng: We can only disclose the number for the entire quarter. It was around 50% of the loading rate.
Operator: The next call is Brad [indiscernible] from Bank of America Merrill Lynch. Please go ahead.
Unidentified Analyst: Hi, management team. Thank you for taking my questions. I have three questions. First of all, you mentioned that starting from October TV panel prices have rebounded. How long do we expect the rebound to last? Second question is that in Q3 you had operating cash outflow; will the cash flow pressure deal an impact to your plan to normalize dividends over the next three years? The third question that I have is regarding downturn. As you're still quite exposed to the display market, are you going to adjust your own loading rates? Sorry, your own capacity besides who team the holy fab construction on hold. Any plans to adjust your existing capacity?
James Chen: Brad, James speaking. For TV currently inventory levels have been reducing and there will be some promotional activities in the end of the year to prepare for the double 11 event and also Black Friday sales. So there are some rush orders coming in. For the past two months' prices have fallen significantly, so there will be some price adjustments, but we still have to examine the performance on the market. If the sell through was pretty – is pretty good and the current situation might be able to sustain for a longer period of time.
Ben Tseng: Hi Brad, I'm Ben. Operating cash flow is a key priority – a very important key priority of ours from material cost, CapEx reduction to reduction of loading rates. All these activities are related to cash flow controls and management. As for a dividend normalization, which is also part of our plan, and we will discuss these matters at appropriate time in the Board of Director meetings. As for the loading rates adjustments for the display business, actually we have already started to adjust capacity that is less efficient and less competitive. But of course, given the current market conditions, we will need to assess whether we will need to accelerate the activity. We hope that in the future there will be some more room for us to develop our new business. Thank you.
Unidentified Analyst: Management team, thank you very much for answering my questions.
Julia Chao: Ladies and gentlemen, we will take one last call. 
Operator: Thank you. The last caller is Karen Wong from Citigroup.
Karen Wong: Hi, management team. Good afternoon. The first question is on UT rates in the industry, given the rebound in TV prices, do you expect to see that the loading rates in the industry to rise significantly in Q4? Secondly, and market channel inventories for IT are still quite high. Could you provide some quantitative guidance as versus normal inventory levels? How much higher are today's inventory levels are? Thirdly, TV sell-through in Q3 posted growth in some regions. However, because of the very aggressive promotions and the significantly lower prices in Q3. Q4 demand will likely be suppressed. What is your view?
Ben Tseng: Hi, this is Ben. Good afternoon, Karen. First up, for the loading rates projection in the panel industry in Q4. We are not at the liberty of commenting on behalf of our competitors, but at AUO we have made it a habit to keep a close eye on our inventory levels and we want to be very precise and very reliable in how we invest and how we build our inventory according to market demand. For the guidance for IT and demand, I think I can provide to you some reference points in Q2. Inventory levels of major IT brands were very high. If we look at the current demand, some brands have their inventory levels worth of more than 10 weeks. Of course, other brands have been very aggressive in controlling and reviewing their inventory levels, so they have been able to lower their inventory levels to healthier levels. Overall, IT inventory levels are still quite high. Of course, we pay close attention to promotion activities. Because promotions for TV are very helpful to digest inventory levels. As for IT products, promotion activities will be implemented by brands and also channels. We hope that and we expect that promotional activities will be very aggressive ahead of the holiday season, which will help to improve inventory levels. Thank you.
Julia Chao: Ladies and gentlemen, in the interest of time, this concludes our investor conference. If you have any other questions, please feel free to contact us at AUO’s IR Department. Thank you. We will see you next quarter.
Operator: Thank you all for participating in AU Optronics 2022 third quarter investor conference. You may disconnect now. Thank you.